Operator: [Operator Instructions] It is now my pleasure to introduce today's first speaker, Mr. Paul Alexander.
Paul J. Alexander: Thanks, David, and good morning, everyone. Welcome to Kimberly-Clark's Third Quarter Earnings Conference Call. With us today are Tom Falk, Chairman and CEO; Mark Buthman, Senior VP and CFO; and Mike Azbell, Vice President and Controller. Here's the agenda for our call. Mark will begin with a review of third quarter results and our full year outlook. Tom will follow Mark and focus his comments mostly on the strategic changes we're making in Europe. After that, we'll finish with Q&A. As usual, we have a presentation of today's materials in the Investor Section of our website. Let me remind everyone that we will be making forward-looking statements today. There can be no assurance that future events will occur as anticipated or that our results will be as estimated. Please see the Risk Factors section of our latest Annual Report on Form 10-K for further discussion of forward-looking statements. I'd also like to point out that we will be referring to adjusted results and outlook today, both of which exclude certain items described in this morning's news release. The news release has further information on these adjustments and reconciliations to comparable GAAP financial measures. Now I'll turn it over to Mark.
Mark A. Buthman: Thanks, Paul, and good morning. Let's start with the headlines. First, we delivered organic sales growth of 3%, highlighted by 9% growth in K-C International. Second, we significantly improved adjusted gross and operating margins, with both reaching 2.5-year highs. And third, we're raising our outlook for 2012 adjusted earnings per share for the second consecutive quarter. Now let's cover the details of the quarter. Third quarter sales were $5.2 billion, down 3% versus last year. Underlying organic sales rose 3%, driven by increased volumes of 2% and higher net selling prices of 1%. Unfavorable currency rates were a 5% drag on our top line, and lost sales in conjunction with our pulp and tissue restructuring further reduced sales by 1%. Third quarter adjusted gross margin was 34.2%, up 290 basis points from last year. The increase was driven by organic sales growth, $85 million of FORCE cost savings and benefits from input cost deflation. Moving down the P&L. Adjusted operating profit rose 8%, with an operating margin of 15.5%. That's up 140 basis points compared to the prior year. The growth in operating profit came despite a pretty significant currency headwind and continued investment between the lines. That includes a $25 million step up in strategic marketing investment and higher administrative and research spending to build capabilities and support future growth, particularly in K-C International. The third quarter adjusted effective tax rate was 31.8%, toward the high end of our full year target of 30% to 32%. Compared to last year, the third quarter rate reduced it -- reduced adjusted earnings per share by $0.05. All in all, third quarter adjusted earnings per share were $1.34, up 6% versus last year. Cash provided by operations in the third quarter was strong at $844 million. That's up from $750 million last year despite higher pension contributions. Speaking of pension, let me comment briefly on the move we're making to reduce the size and potential future volatility of our U.S. pension obligation. This month, we offered about 10,000 former employees a one-time option to receive a lump sum distribution of their pension benefit. The benefit obligation associated with this offer is about $570 million. That's 15% of our total U.S. pension obligation. The payments will be funded from our pension plan assets and will occur by the end of the year. Depending on the amount of participants who choose this option, it could trigger a one-time, non-cash settlement charge in the fourth quarter. If that happens, we expect to exclude it from our adjusted earnings per share. Further details about this action are included in this morning's news release. Now I'll highlight a few areas from our segment results for the quarter. In Personal Care, organic sales rose 6%, with volumes up 4% and net selling prices advancing 2%. K-C International had another quarter of strong volume growth, with high-single to low double-digit growth in each major region. Our key growth initiatives continue to perform very well. In fact, in the diaper category, China volumes grew about 45%, and volumes in Brazil and Russia were each up approximately 15%. Elsewhere, our Personal Care volumes were up high-single digits in Europe. In North America, although volumes were down low-single digits, market shares were up or even with year-ago levels in every category, except baby wipes. Third quarter Personal Care operating margins of 18.1% rose 150 basis points, driven by organic sales growth, cost savings and input cost deflation. Moving to Consumer Tissue, organic sales were up more than 1%, driven by higher volumes. Overall, net selling prices were flat as gains in K-C International were offset by higher promotional spending in developed markets. Consumer Tissue operating margins continue to be up year-on-year, with 150-basis-point improvement in the third quarter. Turning to K-C Professional & Other, organic sales and volumes were even with year-ago levels. Organic volumes were up in K-C International and in the washroom category in North America. On the other hand, volumes were down in southern Europe and in our safety business. Operating margins of 17.5% were up 280 basis points, driven by cost savings and input cost deflation. And lastly, Health Care organic sales and volumes were down 1%. Volumes in both surgical and infection prevention and medical devices were off slightly compared to strong year-ago performance. Operating margins of 14.9% were up 110 basis points, driven by lower input cost. Now let me shift to our full year outlook. We expect to continue our momentum for the first 9 months of the year. We'll stay focused on our targeted growth initiatives, investing behind innovation and brand building, cost reduction and continue to allocate our capital in shareholder-friendly ways. On the top line, through 9 months, we're at nearly 5% organic net sales growth, so we're right on track with our full year target range of 4% to 5%. Our FORCE program continues to perform very well. With $215 million of savings in the bank year-to-date, we're tracking to exceed our full year target of at least $250 million of savings. In terms of commodity costs, our outlook has improved slightly. We now expect deflation of $100 million to $150 million for the year. As a reminder, our previous plan was for deflation to be $0.00 to $100 million for the full year. So adding it all up, we're now targeting 2012 adjusted earnings per share in a range of $5.15 to $5.25. As a reminder, our previous guidance was $5.05 to $5.20 per share. We're pleased with the performance of the business, and we continue to invest for our long-term success. So that wraps up my comments. To recap, we achieved solid organic sales growth led by K-C International. We delivered significantly higher margins with healthy levels and cost savings, and we've increased our full year outlook for adjusted earnings per share. Now I'll turn it over to Tom.
Thomas J. Falk: Thanks, Mark, and good morning, everyone. Since Mark has reviewed our third quarter results and our full year outlook, I'll just add that I continue to be encouraged by the progress that we're making this year. We're delivering against our growth initiatives. We're reducing our costs aggressively, and we're reinvesting for the future, all while generating strong cash flow and returning significant amounts of cash to our shareholders. So while the environment remains challenging, our plan is working. Now let me turn to the changes that we're making in Europe. These actions will allow us to better focus on our strongest market positions and growth opportunities, will improve our underlying profitability in Europe and now enable more sustainable returns going forward for us in this part of the world. And just to be clear, these changes only impact our Western and Central European business. Our Consumer business in Eastern Europe is managed as part of our K-C International team and will not be affected by the changes that we announced today. We will be exiting the open diaper category in Western and Central Europe, with the exception of the Italian market. We'll also be divesting or exiting some other low-margin or slower-growing businesses in certain markets, and most of these are in the Consumer Tissue segment. These businesses have not been able to meet our growth or return targets and, unlike the rest of our European businesses, they've not been earning their cost of capital. Now most of you that have followed us for a while, have been investors for a while, know that we've been in the European diaper market for more than 20 years, and we have made a number of attempts to find a winning business model there. So despite all these efforts, we have not been able to deliver sustainable, profitable growth or earned acceptable returns on capital. In fact, even with some relative progress this year, we're still operating this business at basically break-even levels. So after we've completed a comprehensive review of our business and our strategy, we've concluded that we can create more shareholder value by getting out of this business rather than by continuing to try to turn it around. Now our diaper business in Italy generates solid cash flow and acceptable gross margins. So staying in Italy will maximize the efficiency of some of our assets that are shared with our child care operations there and enable our scale as we go to market in Italy. Beyond our moves in the diaper market, we're not in a position today to identify what specific markets or products we'll be divesting or exiting, and we're in the process of communicating with our employees and our customers, and we want to get that behind us first. To win our cost structure with these moves, we'll streamline our manufacturing footprint and our administrative organization in Europe, and this will include the sale or closure of 5 manufacturing facilities and the transfer of some production to other facilities to improve our productivity. Total workforce reductions are expected to be in the range of 1,300 to 1,500 positions. Restructuring costs for these changes will be incurred through 2014 and are expected to total about $250 million to $350 million after tax. The businesses affected by today's announcement generate annual net sales of about $500 million and a very modest operating profit. About 75% of the sales are in Personal Care, and most of the rest are in Consumer Tissue. We'll be moving quickly to implement these changes. More than half the charges are expected to be occurred in the fourth quarter of 2012, and the lost sales associated with these moves will commence beginning in the first quarter of 2013. We expect the European market to remain challenging going forward, so our teams there will continue to focus on improving our profitability and generating solid cash flow and returns on capital. At the same time, we'll be placing more focus on our strongest branded positions, particularly in the U.K., Italy, Spain and Switzerland. We'll also be investing in those areas where we can deliver profitable growth, like our Child Care business, our Baby Wipes business, our moist bathroom tissue and facial tissue businesses. And I would like to recognize the accomplishments of our European team this year. They are on track to achieve their full year plan in what we all recognize as an extremely challenging environment in Europe. And I'm confident that they will execute these changes that we're talking about today with excellence. Today's changes are another example of our financial discipline and the portfolio management approach that we use to run our company every day. So to summarize, we're encouraged by our continued strong execution this year. We're optimistic that the strategic changes we're making will further improve our portfolio, and we're convinced that our global business plan will continue to deliver shareholder value. That wraps up our prepared remarks, and now we'll begin to take your questions.
Operator: [Operator Instructions] Our first question comes from Gail Glazerman with UBS.
Gail S. Glazerman - UBS Investment Bank, Research Division: Just, I guess, sticking on Europe for a moment. Can you just give a little bit of color on what your remaining sales will be in Western and Central Europe? And any sort of color on initial conversations with customers that will continue to buy other products?
Thomas J. Falk: Yes. I mean, our total consumer business in Europe is a little over $2 billion, and so this will bring it down by about $500 million. We also have, obviously, a Health Care business and the K-C Professional business as well, so our total sales in Europe are over $3 billion. And from a customer standpoint, those contacts are underway as we speak. And so it'd be premature to give any additional color on that at this point.
Gail S. Glazerman - UBS Investment Bank, Research Division: Okay. And switching gears a little bit, I guess, feminine care volumes in the U.S. and North America were a little bit weaker in the quarter. I'm just wondering if you can offer some color there?
Thomas J. Falk: Yes. I think fem care -- a couple of things going on. I mean, first of all, our overall share is relatively stable sequentially, and so we're not seeing a lot of movement there. And we are seeing -- there was a lot of promotional activity in July and August. That probably hurt our Kotex Natural Balance business. Our U by Kotex line continued to do very well in the quarter. But other than that, I'd say there was a little bit more promotion in July and August. It abated a bit in September, and so hopefully, it'll be a little more stable in the fourth quarter.
Gail S. Glazerman - UBS Investment Bank, Research Division: Okay, and K-C Professional. I realize there is the tissue impact, but volumes seem like they were a bit weaker than they've been trending. Was there anything kind of incremental going on there?
Thomas J. Falk: Yes, a couple of things. In North America in particular, our washroom business was fine. It was up about 3%. The areas that were probably hit hardest were things that more -- closely associated with manufacturing like safety and wipers. Part of that may be distributor inventory destocking near the end of the quarter, because it seem like things slowed down a little bit in the end of September. It could also be a little bit of softness in manufacturing, so that was part of it. Europe was a little light in KCP. Part of that was the comps last year. They were up 6% or 7% last year in the third quarter, so they had a little tougher comp. And I also think that if you talk to those guys anecdotally, yes, Germany is slowing down just a little bit. The U.K. is slowing down a little bit, so you saw some of that. Other than that, I would say, though, the rest of that business was pretty much on track.
Gail S. Glazerman - UBS Investment Bank, Research Division: Okay. And I guess, just broadly speaking, when you look around the world, you're still posting, for instance, 45% growth in China. If you're looking at kind of a same-store sales-type basis, the markets that you've been in, were there any changes there? And any incremental changes in consumer behavior I guess, in either Western Europe or North America?
Thomas J. Falk: No. I would say it felt like there wasn't a big shift. I don't think anything got hugely better sequentially. And so -- I was in China not long ago, and we're still doing well in established markets. And I'd say the category is still probably growing mid-single digits, mid- to high-single digits, so that might be a same-store sales equivalent. We're getting growth because we're participating in a broader part of the category, moving from the premium to the mid-tier and building that out. We're also expanding our distribution into more cities. And so we've really got 3 growth drivers in our China business; the category itself, and greater penetration, participating in a broader range of the category and then driving our distribution into more cities. And I was in Europe not long ago as well, and I saw some of the same things. I mean, despite all the headlines that you read, I mean, people need diapers and bathroom tissue and facial tissue every day, and so you aren't seeing big trends in consumer behavior there. I think the U.S. is much the same where we've had good innovation. Mom is still willing to pay more for a better product. If you've got the same product as somebody else, there's a little bit more price competition in the market maybe than there was a quarter ago. But that's maybe the only subtle shift that you've seen.
Operator: Our next question comes from Chris Ferrara with Merrill Lynch.
Christopher Ferrara - BofA Merrill Lynch, Research Division: Just wondering if you could give a little more detail on the European exit, right? So it sounds like, using your percentages, that the cash costs of the exit are somewhere like $125 million to $220 million. Can you give a little more color on the returns on that spend? Right? Because -- what might be the opportunity to drive a more efficient structure, right, on the European business in general in that exit, right? Because the cash costs again -- I mean, just trying to understand what the benefit is over time or even in the near term.
Thomas J. Falk: Yes, Chris. I think about this maybe more as a divestiture where we're not getting a lot of proceeds. And actually, we have to pay some severance to -- which is most of the cash costs of the charge. And really, part of it is as we're shutting this $500 million in sales, we got to shut all of the overhead that goes with it. So our team over there has gone through all the back office processes to say, "Look, we've got to streamline and exit all of that." And this was roughly 20%, 25% of our sales in Europe, and so you've got to shed 25% of your back office costs. For those of you who have gone through that, that's not an easy thing to do. And so the team has come up with a plan to do that and actually improve our margins in Europe going forward by exiting these businesses. But it's not a classic restructuring where you'd spend this money and you get these cost savings that you might have seen in other areas.
Christopher Ferrara - BofA Merrill Lynch, Research Division: Right. So does that mean that this is a cost drag in the near term? Because your point -- I mean, it's hard to eliminate stranded overhead that quickly. And then also, what do you bake in as prospects to getting cash on some of these, your ability to sell these plants and facilities? I mean, is anything baked into your assumptions right now? And how do you assess the probability of being able to get some real proceeds on this stuff?
Thomas J. Falk: If you look at the range built into the restructuring charge, that -- the variable and the range is really the range of proceeds that might be available. And so the -- you look at the diaper business, which isn't profitable at this point, there's not a lot of EBITDA there to get a multiple on. So we may have some facilities that we'll look to sell, and we'll get some proceeds from some of the activity. But I don't think it's going to be a huge driver of value creation.
Christopher Ferrara - BofA Merrill Lynch, Research Division: And then, I guess, just following up on that, I mean, what pushed you over the top to make the exit as opposed to just milk the business? I mean, did you guys expect a continued deterioration? Or was milking it not an option really in these competitive categories?
Thomas J. Falk: Well, we brought in a new management team in Europe late last year, and we challenged them to go pull together a plan that will help us be successful in Europe and that all options are on the table. And rather than give us an incremental change that restructures it one more time and makes it a little better then 2 or 3 years later, we're going to go back at it again, we just fundamentally had to ask ourselves is -- we've been in the diaper business 20 years. We really haven't been successful yet. How much more can we do? And do we have a chance to win here, or can we free up some resources to really win in some of the other good businesses we have in Europe and maybe even free up some resources to invest more aggressively in emerging markets? And it really -- it came down to that call, is do you want to spend more, chasing the European diaper opportunity? Or do you want to go harder in China, Brazil, Russia, Eastern Europe? And I think the team made us a strong recommendation, and we're going forward to make it happen.
Operator: Our next question comes from Bill Schmitz with Deutsche Bank.
William Schmitz - Deutsche Bank AG, Research Division: Can we just stay in the diaper stuff in Europe for a sec?
Thomas J. Falk: Sure.
William Schmitz - Deutsche Bank AG, Research Division: So would you be willing to license the Huggies brand to a third party? Or would you just be selling assets if it was a divestiture?
Thomas J. Falk: I think that we'll look at what those alternatives are when we go into a sale process. I think the thing that will be a little tricky is, given that we're still in eastern Europe and we're still in Turkey and we're still in a lot of the other adjacent geographies, still in Italy, that that gets a little more challenging to manage inside the EU. But we'll take a look at that when we get into the sale process.
William Schmitz - Deutsche Bank AG, Research Division: Got you. And what if someone said, "We'd want the wipes business, too." Is that a non-starter?
Thomas J. Falk: The wipes business has been a phenomenal growth for us. And so -- and we've got good margins in that business. And so we do believe that that's an opportunity for us to continue to drive and grow. And so we still believe in the businesses that we're in in Europe. Our Child Care business, our DryNites business, our Baby Wipes business are doing phenomenally well, very profitable with good margins. And those are core businesses for us.
William Schmitz - Deutsche Bank AG, Research Division: Got you. And how about fem care? Because it wasn't really mentioned in the prepared comments.
Thomas J. Falk: Yes, we don't have much of a fem care business in Europe today, so there's really no change in the status of that.
William Schmitz - Deutsche Bank AG, Research Division: Okay. And then just moving to a different topic, should we be concerned about acrylic acid prices and super absorbers, given what's happened in Japan with the fire at the factory?
Thomas J. Falk: We haven't seen that yet. Obviously, everybody's watching that. But we've -- we're not affected, and the Nippon Shokubai wasn't our supplier. We're starting to watch that very carefully, but it hasn't spiked in the marketplace. Obviously you've seen some weakness in commodities lately, generally, that's maybe helped. But that's something that we'll have to see how that plays out.
William Schmitz - Deutsche Bank AG, Research Division: Okay, great. And then one last one, I guess, for Mark. If you look at your payout ratio and your dividends and also on the share repurchase activity, can you guys still fund that with your U.S. cash flow?
Mark A. Buthman: Yes, well, Bill, I think the answer is we're generating more cash outside the U.S. than we need to grow as fast as we are. So we've got to continue to repatriate. And you've seen our -- some pressure on our effective tax rate, and part of that is driven by the costs of bringing that money back to the U.S. So we need to repatriate to continue to fund -- to some amount to continue to fund dividends and share repurchases.
Thomas J. Falk: Yes. And we routinely repatriate somewhere in the $500 million to $1 billion level every year and have been for a while.
William Schmitz - Deutsche Bank AG, Research Division: Does that impact your thinking on the payout ratio? I mean, trying to take it higher just because, obviously, there's an EPS impact with the tax rate?
Mark A. Buthman: Our dividend payout ratio is about where we targeted it to be. So it's not a specific goal we have, but we want to be a strong dividend payer, top-tier dividend payer in the CPG space. We're -- that's a place where we're at, and I'd expect us to continue to be there. I wouldn't expect over time to increase the payout ratio significantly.
Operator: Our next question comes from Alice Longley with Buckingham Research.
Alice Beebe Longley - The Buckingham Research Group Incorporated: My question is about price mix in the U.S. in Consumer Tissue. It was, I think, negative 1%. It had been 5% to 6% in the first half of the year. Could you give us a sense of where that is going in the fourth quarter maybe into 2013, given that raw material cost pressures aren't so onerous anymore?
Thomas J. Falk: Yes. We saw -- we've annualized all of the price increases and de-sheeting effect that would have driven positive price in the last several quarters. And we saw a little bit of price softening in the third quarter, predominantly in the premium bath segment around our Cottonelle business, and it was really responding to competitive pricing levels in the marketplace. So -- but it's hard to tell at this stage whether that's retailer-led or manufacturer-led, but it's more just trying to make sure we're -- we had to spend a bit back to be competitive on shelf. I would say that's probably likely to continue in the fourth quarter based on what we've seen in promotional plans that are in place. And obviously, pulp prices just went up a tick, but they're still down year-on-year. And so we're in a kind of an equilibrium point where you're not seeing huge swings in pulp either way that's going to drive pricing to a great extent, I think.
Alice Beebe Longley - The Buckingham Research Group Incorporated: What about pricing in Personal Care? What should -- what do you think that will look like going ahead? Is that -- it was 2% in this quarter. Does it stay at 2%? Or does that slow as well?
Thomas J. Falk: Most of the pricing in Personal Care was really taken in overseas markets in response to big currency swings. So places like Brazil where we had the big currency shifts, you had more price being generated. So I think I'd look for the big -- where you have big currency swings, you're likely to have some price offset in either direction. And so I'd say that's probably the best way to measure that.
Alice Beebe Longley - The Buckingham Research Group Incorporated: No, I understand that. I'm talking about North America Personal Care. North America price was 2%.
Thomas J. Falk: Yes. I think we pretty much annualize all the price changes in North America as well. So I wouldn't look for a lot of price movement in the fourth quarter. [indiscernible]...
Alice Beebe Longley - The Buckingham Research Group Incorporated: So that might be 0 in the fourth quarter?
Thomas J. Falk: Well, it really is when the pricing went in, like midway through the fourth quarter last year. So we may get a little bit of benefit but not much.
Operator: Our next question comes from Ali Dibadj with Sanford Bernstein.
Ali Dibadj - Sanford C. Bernstein & Co., LLC., Research Division: So a couple of things on the European changes. One is, when we -- you talked about this before, or this option before. We used to hear things like, "Look, it's too integrated; they're too many dis-synergies," but it doesn't read that way. So is there anything that had changed leading up to this that sent you [ph] to this conclusion about, look, there just aren't that many dis-synergies in breaking this up, number one. And number two, on Europe still, is given the cash charges -- it's one of my favorite topics. What should we expect from a change in buybacks or dividends going forward, given what you're going to have to do and given the earlier question about where your cash is actually generated?
Thomas J. Falk: I guess a couple of things. It is difficult to unbolt a business, and it is very difficult to shed the overhead that goes along with it. And so that's not a trivial exercise, and the team has spent a fair amount of time being very thoughtful on how you do that and still run the business. And so it's an aggressive move, and I give all the credit to the European team for working hard to come up with an aggressive plan that, we think, works. And so I think that it's -- we've changed the leadership team as we talk, came in with a fresh perspective and challenged a lot of previous assumptions and came up with a way that we think will work for us and then give us a chance to be successful in Europe. On the cash question, we've got plenty of cash. And actually, particularly as it's generated internationally, it gets collected in an in-house bank in Europe, and we've got the ability to use those funds in Europe to fund those. So it won't have any significant impact on our stock buybacks or dividend payments going forward. So this is relatively a couple of hundred million dollars on a company with $3 billion in cash flow. It's not going to wiggle it much.
Ali Dibadj - Sanford C. Bernstein & Co., LLC., Research Division: Okay, cool. But now on commodities, the number, the new number is generally much better than expected. It doesn't all flow to the bottom line, obviously, and of course there's some volume deleverage that's there in some of the categories, some of the businesses. But to try and understand how much of the reinvestment, in some sense, you have to make, is volume delevered versus pricing investments versus marketing investments, versus other types of things, and kind of what's that gap? If you can help us quantify, that might be helpful.
Thomas J. Falk: Yes. Maybe, if you think about our overall plan for the year, Ali, and where we're better or worse, you'd say we're certainly better on commodities but we're worse on currency. And actually, if you look at it, we'd say it's $100 million to $150 million of commodity benefit, and we're probably going to have $75 million of translation hit on currency and probably nearly an equal amount of transactions. So commodities and currencies are going to kind of wash relative to our original planning assumptions for the year. And so we're actually a little bit better on volume overall than our plan for the year. And so most of that's in K-C International. We're spending marketing at about the rate -- maybe even slightly ahead of what we thought. And where we really have over-delivered is on our cost savings number. We've taken that guidance up a couple of times and have had good performance on cost savings this year. And that's -- a little bit more volume and much better cost savings is why we're -- been able to raise our guidance twice this year and are going to outperform our plan for the year.
Ali Dibadj - Sanford C. Bernstein & Co., LLC., Research Division: Okay. And then last question is just Personal Care sustainability. Clearly, that's been doing really well, especially driven by international. Have you seen any relief in the North American market? The numbers you're reporting don't suggest that, but are you seeing any interesting signs about growth rates, number one? And then number two, China in particular, you mentioned, is growing very well, and you kind of just aggregate it in terms of leaking buckets [ph]. But if you give us a sense of when you start lapping some of the distribution gains in China so we can kind of think about the transition going forward to a more normalized growth rate.
Thomas J. Falk: Yes. That's a fair comment. In the U.S. -- I mean, I think the -- our original plan for the birth rate in the U.S. was for it to be up slightly this year, more second half-driven. It looks like it's going to be probably flat. So it's negative in the first half, positive in the second half. We'd expect it to be slightly positive in 2013 based on that. But -- so if you look at the category on a units basis, we thought it was going to be down 1%. It's probably going to be down 2% for the year in the diaper category. If there was any bright spots for us in the third quarter, our Child Care business did quite well, driven by our GoodNites brand, which we've got a strong offer there. We also had some innovation with some new products that were launched into that market. It was also a hot, dry summer in the U.S., so we sold a lot of Little Swimmers. And so that helped our third quarter performance as well. But it also showed that mom is willing to spend a bit more for innovative, terrific products in that space. In China, we just keep adding cities and keep growing over there. So I don't think we can keep growing at 45% or 50%. But we've got an aggressive growth plan to -- if that business in total today is $400 million, it could be $1 billion by 2015. And so we do see significant growth still coming in that market.
Operator: Our next question comes from Wendy Nicholson with Citi Research.
Wendy Nicholson - Citigroup Inc, Research Division: My question goes back to Europe. And I guess the bigger-picture question, the new guy who's, I guess, maybe putting himself out of a job, was it contemplated that you should exit Western Europe in a bigger way, kind of like P&G did with the tissue towel business? Because just running the numbers quickly, if you take away the $500 million of revenues and no profit, the business, even still, is going to have, I think, a high-single-digit EBIT margin, which is better than it's been, but it still drags down the overall. So was there a contemplation that maybe there's a bigger action that should be contemplated?
Thomas J. Falk: Well, I guess the first thing I would tell you, Wendy, is that the guy is actually a girl. And so Kim Underhill has done a great job with her team in Europe, and she's not putting herself out of a job. She's actually going to take the $1.6 billion business that we have in Europe that we think will be a little bit better than the high-single-digit margins that you've delivered and put together a plan to grow those businesses and get it to the point where it is accretive to the company overall. And so we won't do that, and these restructuring actions will take a couple of years to go. And in places it takes a while to take capacity out in Europe. But that's certainly the vision, is to get Europe to be a contributing part of the company, with growth prospects and the opportunity to launch innovation and really run it like the rest of Kimberly-Clark long term. And that's what's exciting for the team over there.
Wendy Nicholson - Citigroup Inc, Research Division: Can you talk about kind of what -- more specifically, what you see? Because in that tissue towel business, I've always thought that that, in and of itself, is a hard business to make a lot of money in given private label. Do you think innovation makes it different? Is it just your cost structure? Is it the fact that the Procter brands are gone? What makes Europe, from a consumer tissue perspective, so much more attractive today than it's been for a while?
Thomas J. Falk: Yes. I guess it's a couple things. First of all, it's launching innovation -- you're absolutely right that the bath tissue category is highly private label-penetrated and is not necessarily the place that we're going to win. We've got a great brand in Andrex. We're going to continue to maintain that and invest in it. It's more about how do we drive Kleenex facial tissue more aggressively in markets around there? How do we drive Moist? We've just launched Andrex Moist and relaunched that in Europe, in the U.K., with great success. So how do you start to build out with the great brands that we have into adjacencies that have got a better margin structure? We also see that in our Personal Care space. Are we going as hard with DryNites and Baby Wipes and Pull-Ups as we can? And in some ways, by being in the diaper business, that was constraining funds to invest in these other categories. We haven't put our best foot forward always. And so this frees us up to be able to invest more aggressively behind those growth opportunities that we do have in Europe.
Wendy Nicholson - Citigroup Inc, Research Division: Got it. And then I just had a quick follow-up on China, the phenomenal growth that you're seeing there. Number one, can you give us kind of what category growth is? And I know your strategy, historically in China, has always been, I think, to compete kind of at the high end and be very selective about where you distribute in and what price points. Is that strategy still in place? Or is there a chance that, because you're getting so much bigger, you're going to go more down-market and compete at multiple price points?
Thomas J. Falk: Well, I mean, we're in the top 2 tiers. We've got all we can handle to drive that aggressively at this point in time. There are some very good companies that compete at the lower end and it's tougher to differentiate in that space. So we're going to go at the mid to top end of the market. We actually think the market is moving in that direction anyway as consumers are trading up in China. And so that -- we're on trend, and that's helping us as well.
Operator: Your next question comes from Caroline Levy with CLSA.
Caroline S. Levy - CLSA Asia-Pacific Markets, Research Division: The insight on China, that's very helpful. A couple of things. Are you able to give us an outline of -- in how many categories you gained share in the U.S.?
Thomas J. Falk: Yes. I mean, if you look at -- versus a year ago, I think we were up in all but Baby Wipes. Up or flat in all but Baby Wipes and maybe paper towels. Is that fair?
Paul J. Alexander: That's correct. And that's the same -- on a year-to-date basis actually, we're up or flat in 7 of 8 categories.
Caroline S. Levy - CLSA Asia-Pacific Markets, Research Division: Okay. And moving on to SG&A. I'm assuming your advertising marketing was up. That was the $25 million increase? Is that right?
Thomas J. Falk: Yes.
Paul J. Alexander: Yes.
Caroline S. Levy - CLSA Asia-Pacific Markets, Research Division: And what percentage increase is that?
Paul J. Alexander: Yes, we don't disclose that, but it's well above...
Thomas J. Falk: A little faster than sales, yes.
Paul J. Alexander: Well above the organic sales growth.
Thomas J. Falk: Yes.
Caroline S. Levy - CLSA Asia-Pacific Markets, Research Division: And you referenced some investment spending in the G&A line. Can you help us understand that a bit?
Thomas J. Falk: Yes. I mean, as we're growing in our emerging markets, building capability in those areas -- so we've opened research centers in Colombia and Korea, for example, where we've spent some money to get those up and going. And as we're building marketing capability and our teams around the world, we're having to add some resource. So as we go into China, for example, when you're growing at the rate that we're growing, we've just got to build some infrastructure to be able to support that. So that's part of the increase there.
Caroline S. Levy - CLSA Asia-Pacific Markets, Research Division: Okay. Do you -- are you able to give a sense of what the impact to EBIT and earnings was from currency?
Thomas J. Falk: Yes, I think we've disclosed some of that. Paul, do you want to give some of the details?
Paul J. Alexander: Yes. So on a translation standpoint, that should be in the news release. It was about a $25 million drag. And then if you also add in transaction impact, it's about an $0.08 drag on the quarter.
Caroline S. Levy - CLSA Asia-Pacific Markets, Research Division: And then the final one is if you could just run us through the puts and takes of the major commodity inputs as you see them now.
Thomas J. Falk: Yes. In the quarter -- I mean, the biggest swing was fiber, which was, what, $45 million positive? And that's across virgin fiber as well as recycled fiber, were both positive in the quarter. Our other material buckets were about $25 million positive, which is mostly polymer and super absorbent and things like that. And then we had some distribution expense, in part because of the high diesel cost in the summer that swung the other way, $10 million or $15 million.
Caroline S. Levy - CLSA Asia-Pacific Markets, Research Division: And your assumption for the balance of the year is sort of more of the same or even more favorability? Is -- when you say...
Thomas J. Falk: Yes. Going forward, I think the biggest shifts in our commodity cost assumptions was in pulp, which is probably about $20 a ton lower than what we would have had in our last guidance, and that accounts for most of it. Oil is tracking pretty much where we thought it would. Now obviously it has come down a little bit in the last few days, but we're expecting oil to be in the mid-$90s. And I think most of the commodities that we buy that are based on oil are kind of targeting that kind of a price.
Caroline S. Levy - CLSA Asia-Pacific Markets, Research Division: And the pulp price you assume then?
Thomas J. Falk: Pulp price, I think for northern soft was like $870 a ton, something like that.
Paul J. Alexander: Yes. That's the midpoint of our full year range. Yes.
Thomas J. Falk: Yes.
Operator: Our next question comes from Lauren Lieberman with Barclays.
Lauren R. Lieberman - Barclays Capital, Research Division: Just was curious what percentage -- or to what degree the downtime you guys have taken every year has actually been in the European diaper business or even in the -- some of the tissue areas that you may be exiting.
Thomas J. Falk: I wouldn't say Europe was a disproportionate part of that. I mean, if anything, probably just because of the sheer size of the U.S. business, more of the downtime has happened in the U.S. Europe has had probably its fair share, but I wouldn't say it was a disproportionate part of it.
Lauren R. Lieberman - Barclays Capital, Research Division: Okay. So that's not a swing factor going forward in terms of how we think about downtime?
Thomas J. Falk: Actually, in the quarter, I don't think we've talked about this much, but downtime was actually a slight positive in the quarter, which we talked about last year. We took more of the downtime in the third and fourth quarters, and that continued a bit into the first and second quarters. Our inventories are pretty much tracking to where we need them to be, and so we're in a reasonable shape from an operating rate standpoint.
Lauren R. Lieberman - Barclays Capital, Research Division: Okay. And then just -- another question on sort of how you manage the brands going forward in Europe. So is -- are GoodNites and wipes really not marketed under the Huggies brand?
Thomas J. Falk: Well, I mean, the brand in Europe is actually DryNites, and the wipes is marketed under the Huggies brand name. And so we'll absolutely do that. In fact, it's probably -- you have to be around for awhile to remember this, but when we went into Europe, we actually launched Pull-Ups before we launched diapers so we could be a first mover in that market. And you have lots of wipes players in the market that aren't in the diaper category. J&J is there, Beiersdorf is there. So you've got -- there's other examples where you've got a consumer-recognizable brand that -- and a differentiated product, and we can be successful in that space. And I think, as many of us know, wipes are also used in lots of non-diapering households for various uses. So it's -- we just think it's an exciting category with a lot of growth opportunity for us.
Lauren R. Lieberman - Barclays Capital, Research Division: Okay. And so sorry, just to be -- the Pull-Ups is also -- is under the Huggies brand, but it's...
Thomas J. Falk: There's probably a Huggies parentage on the packaging. I haven't looked at it in a little while, but I'd be surprised if there wasn't. But it's big Pull-Ups, little Huggies.
Operator: Our next question comes from Chip Dillon with Vertical Research.
Chip A. Dillon - Vertical Research Partners Inc.: First is just a couple of questions about Europe. I remember -- I believe when Darwin pushed the company there, the U.K. was your first entry point. And then I think you bought Mon Bebe´ in Iberia and Linostar in Italy, and it looks like you're going to keep Linostar. And I was just wondering what has been different about that business than the other regions in Europe. And secondly, could you just verify, are Linostar's revenues somewhere in the, I guess, $100 million, $150 million range a year?
Thomas J. Falk: Yes, I don't think we've used that name in a long time, Chip. So it's a -- I think the Italian diaper market, we just think the margin structure is different. The retail trade structure is different. It's much less concentrated than other parts of Europe, and so it just makes more sense for us to go to market from that standpoint. But I think your sales are probably in the ballpark. I don't know, Paul, if you...
Paul J. Alexander: It might be a little bit high, but...
Thomas J. Falk: A little high, yes.
Chip A. Dillon - Vertical Research Partners Inc.: Got you. Okay.
Thomas J. Falk: Yes. I think it's a -- the market in Italy is about $600 million, and we're...
Paul J. Alexander: We're at low teen share.
Thomas J. Falk: Low teen share. So...
Chip A. Dillon - Vertical Research Partners Inc.: Got you. Got you. And then of the 5 facilities that are going to be sold or divested, is -- I mean, I'm guessing -- we're obviously -- it looks like your tissue footprint really isn't changing that much over there. I'm going to guess, on the consumer side, 10% to 15%. And would that therefore mean this is just -- one of the facilities is actually a tissue mill?
Thomas J. Falk: I think there will be several tissue mills, as well as some personal care mills. And that -- obviously we're still in the process of notifying all the teams today, so we're not going to give more specifics than that at this point. But there could -- particularly associated with some of the market exits that we're talking about.
Chip A. Dillon - Vertical Research Partners Inc.: Okay. And obviously, what you're not giving us -- I mean, obviously, you're -- there are some upfront cash costs, and I know people have asked about this, but are you -- I mean, are you just being conservative and not assuming a proceeds number for some of these divestitures? Or do you just don't think they're going to be material relative to the cost?
Thomas J. Falk: Yes. I'd say the proceeds that we expect are the real variable in driving the range that we've provided in the guidance. So there's some proceeds at the low end of the range and there's more proceeds at the high end of the range.
Chip A. Dillon - Vertical Research Partners Inc.: Okay. Got you. And last question. As you look at the U.S. market for tissue, we're looking at like 7 or 8 restarts or new machines that are either ATMOS or TAD that -- some are private label. I mean -- sorry, some are away from home, and some are private label. And I just heard last week that the biggest guy out there, First Quality, is adding a third machine in South Carolina in '14, and I'm assuming that they must be getting some support from the retailers. And I'm just wondering if -- are you seeing any impact on your business from this increase in private label capacity?
Thomas J. Falk: Yes. I would say not so far, and there's also been capacity that's come out of the market that I think you know we've done some of it with the Everett facility coming out, as well as some of the work that we're doing at Chester. And there have been other closures by other players in the market. So at this point, you'd say, boy, for the year, in dry bath, I think private label shares are up slightly." But it's maybe like a point I think -- I think it's up -- it's up 2% and it's up 1% in towel. So it's something that we're watching, but I wouldn't say at this point that it's had a huge impact on the business.
Paul J. Alexander: Yes. And from our standpoint, Chip, our shares are about flat in all categories in tissue this year. So that share gain from private label is not coming out of us.
Operator: Our next question comes from Javier Escalante with Consumer Edge Research.
Javier Escalante - Consumer Edge Research, LLC: Listen. On 2 follow ups, one on North America tissue pricing and the other on Europe itself. On tissue, you talk about a more assertive or aggressive promotional calendar going into the fourth quarter. So at this point, how would you characterize the promotional environment, given that pulp prices are down in the low teens? Is it as aggressive as you would expect there? Or is it the behavior by cost industries and Procter? How would you characterize the promotional environment thus far?
Thomas J. Falk: I would say we have seen some hotter promotional price points in the third quarter and we've spent some to be competitive and to obviously protect share, which we were able to do. We -- it's difficult to tell whether that's retailer driven or manufacturer driven, and so we'll obviously watch that in the fourth quarter and see how that plays out.
Javier Escalante - Consumer Edge Research, LLC: With regards to Europe then, basically, could you help us understand the impact on the earnings progression in 2013? Because you're going to be taking charges in the fourth quarter, my understanding is that when this stuff is done, it's going to be $500 million in sales being lost. So to what extent the costs associated with these sales are going to be matching these sales, these foregone sales? So should I be worried that there's going to be a deleverage early on as we enter in fiscal '13? How -- if you can give us some preliminary thoughts about how this decision of exiting Europe is going to impact the earnings progression of next year.
Thomas J. Falk: Yes, that's a great question, and it's one the European team is intensely focused on right now, is to get the cost out quickly, to get them out in the fourth quarter so that as we go into 2013, we don't see a dip in our profitability in Europe. I wouldn't expect a lot of growth from our 2012 results but that we shed that $500 million in sales and hold our profitability in Europe. And so that's the goal and the plan. We'll obviously give you more color on that when we provide guidance in January.
Operator: Our next question comes from Connie Maneaty with BMO Capital Markets.
Constance Marie Maneaty - BMO Capital Markets U.S.: Most of my questions have been answered, so I'll ask my usual on Venezuela. Could you tell us what the impact of a 50% devaluation would be, given the price declines in your categories?
Thomas J. Falk: Yes. You want to know the balance sheet number or the kind of ongoing business number?
Constance Marie Maneaty - BMO Capital Markets U.S.: Both.
Thomas J. Falk: So the balance sheet number, I think, Mark, we've got, what, a couple of hundred million in the...
Mark A. Buthman: A couple hundred million dollars.
Thomas J. Falk: In the financial assets in current U.S. dollars. So you'd have about a $100 million hit if you had a 50% devaluation. And from an ongoing business standpoint, I think the correct answer is it really depends on what happens to pricing. If you have that kind of a deval and pricing controls stay in place at the levels that they're at, then I think that's a big problem for everybody. And so we'll have to wait and see. But for perspective, it's low single-digits percent of our sales and operating profit at this point. And so we'll have to see what happens as we get more clarity on what's going on down there.
Constance Marie Maneaty - BMO Capital Markets U.S.: Is there any discussion with the authorities to get some pricing relief? Because it does them no good to have suppliers pull out of the market because they can't make money.
Thomas J. Falk: Yes. I think, obviously, given that the elections just happened down there, I don't think there was a lot of discussion leading up to that. They were kind of focused on other things and trying to figure out who was going to be in charge. And now that that's been decided, we'll have to see what happens. I think, clearly, the government understands what the impacts of their policy changes are, and they'll have to work with the manufacturing environment to make sure they can provide for their -- for the people in Venezuela. And so we're going to try to work with whatever rules are there and find the business opportunity that works for us and for our consumers.
Operator: Our next question comes from Jason Gere with RBC Capital Markets.
Jason Gere - RBC Capital Markets, LLC, Research Division: I'll even make it shorter, just -- most of the questions have been answered. Just going back, I think, to Javier's question, 2 ago. So as we think about '13, is it your thought right now that the impact to '13 EPS will be minimal from the exiting of the business?
Thomas J. Falk: Yes, on an adjusted basis. So we'll still have whatever charges will flow through. But on an adjusted basis, I wouldn't see any -- a dip in profitability.
Jason Gere - RBC Capital Markets, LLC, Research Division: Okay, good. And then, I guess the other question is just, as you think about the organic sales and -- the first 2 quarters of the year, you guys beat expectations out there in the top line. This quarter, I felt like maybe some of the B2B businesses slowed a little bit or had some tougher comparisons. So I guess, one, can you talk about how organic sales kind of shaped up relative to your internal expectations and maybe where was some of the shortfall? And then, two, was there any change in cadence over the quarter July through September? I mean, we've heard about retail seeing some week September numbers out there, but -- and this is staples. But I was just wondering if there's any type of differentiation over the course of the quarter.
Thomas J. Falk: Yes. I would say, if you kind of go around the businesses, I'd say North American consumer was pretty close to on track in the quarter from our expectations. B2B was a little week. It tended to soften more late in the quarter, and so some of that may be distributor inventory-related issues. Or you had a little bit more manufacturing weakness that might have affected KCP. KCI generally had a solid quarter and outperformed expectations pretty much everywhere, was at least what we thought or even a little better. So overall, I would say it was pretty close to expectations, with a bit of the over-delivery in KCI and a little softness in KCP and Health Care.
Jason Gere - RBC Capital Markets, LLC, Research Division: Okay. And then was there any change just over the course of the 3 months? And how does October look?
Thomas J. Falk: Yes. I mean, again, I would say September was a little lighter, particularly in the B2B businesses. And it's -- October so far looks fine. But again, we'll have more visibility of it when the month is actually closed. So...
Operator: Our next question comes from Linda Bolton-Weiser with Caris.
Linda Bolton-Weiser - Caris & Company, Inc., Research Division: I guess I was a little surprised that the Consumer Tissue operating margin kind of went -- it went down sequentially, if I've got my numbers right here.
Thomas J. Falk: Yes, it's down about 40 basis points sequentially, I think.
Linda Bolton-Weiser - Caris & Company, Inc., Research Division: Yes, and because the volume performance was about the same as last quarter, and of course the pricing was less positive. But that was true of the Personal Care segment as well, and yet the profitability in Personal Care looked quite good. So what am I missing here? Were there more cost saves in Personal Care than Consumer Tissue? Or...
Thomas J. Falk: Yes. I'd say we had more positive price in Personal Care, and we actually had negative price in Consumer Tissue, which we talked a little bit about. And so that was probably the biggest single difference. I mean, I would say we still got good year-on-year margin improvement in Consumer Tissue and would expect to see that continue through the year. And we also would say we're not satisfied with the margins where they're at, that we'd like them to be closer to the mid-teens. And so we still have work to do and have got aggressive cost savings programs going there as well.
Linda Bolton-Weiser - Caris & Company, Inc., Research Division: Because I would think that your fiber costs actually kind of sell further sequentially. Right? From the segment in the third quarter?
Thomas J. Falk: Yes.
Linda Bolton-Weiser - Caris & Company, Inc., Research Division: Okay. So then, in the fourth quarter...
Thomas J. Falk: Well, there's been some pulp prices increases announced in the fourth quarter. So sequentially, you could see a bit of cost pressure from pulp. And we still think it's going to be a competitive promotional spending environment out there. So we've got to deliver the volume, we've got to deliver the cost savings to get the margin improvement that we're looking for.
Operator: Our next question comes from John Faucher with JPMorgan Chase.
John A. Faucher - JP Morgan Chase & Co, Research Division: A quick question for you, which is, you talked about sort of stepping -- new leadership stepping into this business and taking a look at where the structural advantages, disadvantages are in making that decision. You guys have been a little more static with your portfolio, it seems, over the past couple of years. So can you talk to us, as you look out, and I'm not looking for sort of specific examples of which businesses you'd like to jettison and what have you, but just sort of what percentage of your portfolio you think you need to have to sort of continual [ph] a review on? And is this something where, if we look at your results over the past 12 to 18 months, you've been a little bit more successful I think than some of us anticipated? Top line has been strong. How much of this is sort of taking advantage of a little bit of a tailwind to make some tough choices?
Thomas J. Falk: Yes. I mean, I guess I would say, John, we're all -- we're looking at all parts of the portfolio all the time. And so it's not one that -- we're doing regular strategic reviews and tracking how individual businesses are performing against the plan. And so -- and making a decision to exit the diaper category in Europe was a tough call for us. It's one that's a business that we're in all over the world. It's a core business for us. But we also had to look at the harsh reality and say we've been trying to be successful over there for 20 years, and we've haven't made any money. It's not a hobby. We've got to find a way to make a profit, or we've got to think about whether we can redeploy our effort elsewhere. And so I do give the team credit for having that conversation and framing up the discussion with us, and we're going to make the decision to move forward. And so -- but again, I don't see huge chunks of the portfolio that we're unhappy with. There's individual category/country combinations that you want to go work on and problem solve, but I don't see there's huge chunks of it that I'm concerned about at this point in time.
Operator: At this time, we have no other questioners in the queue.
Paul J. Alexander: All right. Thanks, David. We'll wrap up with a comment from Tom.
Thomas J. Falk: Once again, we were pleased to be able to raise our guidance for the second quarter in a row and continue to deliver on our investor expectations. There's a lot happening at Kimberly-Clark today, a lot of great innovation, and we're taking the right actions, consistent with our global business plan, to run the business for a successful future. So thank you very much for your support of Kimberly-Clark.
Paul J. Alexander: Thank you.
Operator: Ladies and gentlemen, that concludes today's call. You may disconnect your lines now. And have a wonderful afternoon.